Operator: Good day and welcome to the Lantronix 2021 Fourth Quarter Results Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mr. Rob Adams. Please go ahead, sir.
Rob Adams: Thanks, Chuck. Good afternoon and thank you for joining the fourth quarter fiscal 2021 conference call. Joining us on the call today are Paul Pickle, our President and Chief Executive Officer and Jeremy Whitaker, our Chief Financial Officer. A live and archived webcast of today’s call will be available on the company’s website. In addition, a phone replay will be available starting at 8:00 p.m. Eastern, 5:00 p.m. Pacific Time tonight through September 2 by dialing 877-344-7529 in the United States or for International callers 412-317-0088 and entering the pass code 10159500. During this call, management may make forward-looking statements, which involve risks and uncertainties that could cause our results to differ materially from management’s current expectations. We encourage you to review the cautionary statements and risk factors contained in the earnings release, which was furnished to the SEC today and is available on our website and in the company’s SEC filings such as its 10-K or its 10-Qs. Lantronix undertakes no obligation to revise or update publicly any forward-looking statements to reflect future events or circumstances. Furthermore, during the call, the company will discuss some non-GAAP financial measures. Today’s earnings release, which is posted in the Investor Relations section of our website, describes the differences between our non-GAAP and GAAP recording and presents reconciliations for the non-GAAP financial measures that we use. With that, I’ll turn the call over to Jeremy Whitaker, Lantronix’ Chief Financial Officer.
Jeremy Whitaker: Thank you, Rob and welcome to everyone joining us for this afternoon’s call. I am going to provide the financial results as well as some of the business highlights for our fourth quarter and fiscal year ended 2021 before I hand it over to Paul for commentary. Please refer to today’s news release and the financial information in the Investor Relations section of our website for additional details that will supplement my commentary. As a reminder, our fiscal 2021 results do not include any revenue or operating costs for the acquisition of Transition Networks and Net2Edge, which comprises the electronics and software business segment of Communication Systems, Inc., which closed on August 2, 2021.  For the fourth quarter of fiscal 2021, we reported record revenue of $20.6 million, an increase of 19% when compared to $17.4 million for the fourth quarter of fiscal 2020. Sequentially, net revenue was up 21% compared to $17.1 million reported in the third quarter of fiscal 2021. We exited the fourth quarter of fiscal 2021 with record backlog from a combination of increased customer demand and supply chain constraints. Gross profit as a percentage of net revenue improved to 48.8% for the fourth quarter of fiscal 2021 as compared with 37.7% for the fourth quarter of fiscal 2020 and 45.1% for the third quarter of fiscal 2021. The sequential improvement can be attributed to improved product mix driven in part by software license revenue. That said, we continue to face headwinds and supply chain costs affecting gross margin. This cost us over $2 million in fiscal 2021. And while we don’t see a material change in the situation at the moment, we expect it to improve as the environment changes, as well as through anticipated price increase for Lantronix product offerings. Selling, general and administrative expenses for the fourth quarter of fiscal 2021 were $6.1 million compared with $4.7 million for the fourth quarter of fiscal 2020 and $5 million for the third quarter of fiscal 2021. Research and development expenses for the fourth quarter of fiscal ‘21 were $3.6 million, compared with $2 million for the fourth quarter of fiscal 2020 and $2.5 million for the third quarter of fiscal 2021.  The sequential increase in SG&A and R&D was impacted by variable compensation costs accrued in the fourth quarter. GAAP net loss was $1.1 million or $0.04 per share during the fourth quarter of fiscal 2021 compared to a GAAP net loss of $1.7 million or $0.06 per share during the fourth quarter of fiscal 2020. Non-GAAP net income was $1.7 million or $0.06 per share during the fourth quarter of fiscal 2021 compared to non-GAAP net income of $1.2 million, or $0.04 per share during the fourth quarter of fiscal 2020. Now turning to the full year results, net revenue for fiscal 2021 was $71.5 million, an all-time record and an increase of 19% when compared to $59.9 million in fiscal 2020. Gross profit as a percentage of net revenue for fiscal 2021 was 46.2% as compared with 44.9% for fiscal 2020. The improvement in gross margin was primarily due to product mix.  GAAP operating expenses for 2021 were $36.4 million compared with $37.4 million for fiscal 2020. As a percentage of revenue, non-GAAP operating expenses for fiscal 2021 improved to 39% of revenue compared to fiscal 2020 at 42% of revenue. For fiscal 2021, we reported a GAAP net loss of $4 million or $0.14 per share compared to a GAAP net loss of $10.7 million or $0.42 per share for fiscal 2020. Non-GAAP net income increased by 132% to $5.8 million or $0.19 per share for fiscal 2021 as compared to $2.5 million or $0.09 per share in fiscal 2020. Cash flow from operations totaled $1.7 million in Q4 and up 14% sequentially from $1.5 million in Q3 and up 86% from $914,000 in the year ago quarter. Now turning to the balance sheet, we ended the June 2021 quarter with cash and cash equivalents of $9.7 million, an increase of $2 million from the prior fiscal year. Working capital improved to $20.3 million as of June 30, 2021, as compared with $18.7 million as of June 30, 2020. Net inventories were $15.1 million as of June 30, 2021, compared with $13.8 million as of June 30, 2020.  Now turning to our annual outlook, which includes approximately 11 months of contribution from our recent acquisitions of Transition Networks and Net2Edge. For fiscal year 2022, we expect revenue growth of 45% to 75% and non-GAAP EPS growth of 85% to 135%. I will now turn the call over to Paul.
Paul Pickle: Thank you, Jeremy. Q4 was a watershed quarter for us here at Lantronix and I am extremely pleased to report these results as well as the significant momentum we carry into our next fiscal year. In the fourth quarter, we delivered record revenues of $20.6 million. For the full year 2021, revenues were also a record at $71.5 million. We saw strong results from our software offerings, continued booking strength, and we are entering fiscal 2022 with a new record backlog. Given our results and the robust outlook Jeremy just detailed for you, we have much to look forward to in this next fiscal year. As you have probably heard from our peers, or experienced in some manner yourself, the supply chain disruptions caused by the pandemic are ongoing. In the fourth quarter, component shortages and delays caused us to push out approximately $5 million of revenue into future quarters versus $4 million in Q3 and $2 million in Q2.  However, you may recall that when Lantronix first noted supply disruptions over a year ago, we were one of the first companies to talk about the issue. We moved quickly to secure supply of key components. And while we clearly are not immune to the problem, we are in a position to continue growing despite the challenge. Turning to our product categories, our IoT products delivered $17.5 million in Q4, up 28% sequentially and 20% year-over-year. Ethernet modules continue to pace the group with strong double-digit revenue growth year-over-year and sequentially. WiFi posted a solid comeback quarter as we started to catch up with demand, mitigated somewhat by IoT gateway and telematics revenue, which moderated after a very strong third quarter. In our Edge Compute solutions, we continue to set the table for future revenue growth. The opportunity in funnel is robust, and we continue to expand internal resources to meet demand. As customer revenues moved from development kits to design services and ultimately to volume product shipments, we are circling several opportunities, each of which, we anticipate could result in multimillion dollar volume shipments. All in, for the fiscal year 2021, IoT revenues totaled $59.2 million, up 19% from 2020, with a record backlog in place and accelerating design momentum at our customers, we look forward to another strong year in fiscal 2022. Turning to Remote Environment Management or REM. Revenues in Q4 totaled $3 million down 8% sequentially, but up 14% from a year ago. For the fiscal year 2021, REM revenues totaled $11.8 million, up 28% from 2020. Demand for our out-of-band products drove this growth, augmented by the continuing customer adoption of our SaaS solutions. While this business can be volatile quarter-to-quarter, the demand for remote management solutions is seeing an enduring uptick post-COVID. Our visibility is increasing, and we expect to continue to deliver double-digit year-over-year gains. Q4 results were bolstered by strong software licensing revenues. We continue to make progress toward our SaaS and other services goals and exceeded our internal expectations for recurring revenue in 2021. While we are still in the early innings, our pipeline is growing, adoption is accelerating, and we have every conviction that we are well on the way for recurring revenue to reach 10% of total revenues within 3 to 5 years. Finally, while it didn’t close in Q4, we finalized the carve-out of transition networks and Net2Edge from CSI earlier this month, and we expect to report almost 2 months of revenue in our first fiscal quarter ending September. This is an exciting acquisition for us for a number of reasons. The acquired business revenues totaled $34.5 million in calendar year 2020, about half our current size. And as Jeremy just guided, together, we expect to deliver well over $100 million in revenue for fiscal year 2022. This brings real scale and financial efficiency to our business as our go-to-market manufacturing flows are similar. The acquired product lines bring Lantronix a highly complementary product offering, a number of sticky federal and municipal customers and exposure to several growing smart city IoT applications. We are already hard at work meeting our new customers, and we see several revenue synergy opportunities, which we expect to capture. For example, Transition Network sells its powered Ethernet switches to a number of government departments of transportation for deployment and security camera applications. The data captured is then uploaded to the cloud via cellular router that is currently supplied by one of our competitors. We have the very same capability in-house and with the new product offerings, we can deliver a higher performance solution to our customers at a compelling price point. This is just one example of the type of revenue synergies we see and expect to deliver over time, thus accelerating our growth rate. Finally, due to the complementary nature of the products, we are confident in our ability to deliver over $7 million of operating and manufacturing expense synergies, which we expect to realize over the course of the next 18 months. A substantial piece of that $7 million was realized on day 1, and this acquisition is expected to be immediately accretive. Just to put the power of this accretion into perspective, in fiscal 2022 at the midpoint of the earnings guidance Jeremy laid out at the beginning of the call, we’re expecting to more than double non-GAAP EPS versus fiscal 2021. In summary, we are pleased to deliver these results guidance to our shareholders. Our team has executed well in a very challenging environment. We exited our fiscal year 2021 growing organically at a double-digit rate and expect that trend to continue through fiscal ‘22. We are acquiring strategic assets, integrating them and realizing synergies so as to drive improving cash flow. We look forward to reporting our progress to shareholders in the coming months as we continue to execute on our strategy. That completes the prepared remarks for today. So I will now turn it over to Chuck to conduct our Q&A session.
Operator: Thank you. [Operator Instructions] And the first question will come from Scott Searle with ROTH Capital. Please go ahead.
Scott Searle: Hi, good afternoon. Thanks for taking my questions. Nice quarter, guys. Very nice to see the top line growth as well as the gross margins coming through with some of the software contribution. Just want to clarify a couple of things, a little bit of the audio was choppy. But Paul, I want to make sure I heard correctly. Organically, you’re expecting to grow double-digit growth rates going forward? And Jeremy, on the gross margins and OpEx front as we’re looking forward into the September quarter, OpEx was up, looks like some variable comp catch-ups in the fourth quarter there. How should we be expecting OpEx to trend sequentially?  I know you got a lot of moving parts right now with 2 months of the quarter for Transition Networks being on board offset by some of the cost reduction plans you’ve got ongoing? And then also the impact of the Transition Networks gross margins as well as the software impact. So how should we think about gross margins and OpEx as we go into September quarter?
Paul Pickle: Alright. I’ll take the growth rate piece first. definitely had a strong organic growth rate this past quarter. We’ve been talking about those backlogs building, having some of those long lead time components on order. We got those in-house. We were able to deliver on those shipments on that backlog. The backlog continues to grow. I think last quarter I said we were well over 4x our historical averages.  And at this point, we’re well over 5x. Part of that is the new programs that customers have been placing production orders for. These are new programs. That’s all organic business. And so we’ve got lots of visibility on that. But we are seeing an overall nice macro trend on the business as a whole, and that we’re seeing quite a bit of strength. Not to mention a number of new POCs for the Remote Environment Management products as well. And I’ll comment real quick on the OpEx trend, and then I’ll turn it over to Jeremy. I think the important thing to look at what we’re driving as a percentage of revenue. So if you look at the last even 3 years, 2.5 years, we’ve been driving that OpEx as a percentage of revenue down. And on a quarter-on-quarter basis, it’s always going to be up and down depending on the R&D projects that we have that come on board and certifications that we needed to drive. But overall, you should see us continue to drive OpEx as a percentage of revenue down. Jeremy, do you want to comment further?
Jeremy Whitaker: Yes. As it relates to margins, we came off a really strong quarter, and that was helped by some pretty meaningful contribution from software licensing revenue that is expected in the future, but it’s going to be kind of lumpy. And so, I would expect gross margins to come down a couple of hundred basis points just as we get back to our kind of normal product mix. And then we are targeting EBITDA, our non-GAAP income in the low double digits. And so with that, as Paul mentioned, I would expect that while OpEx will go up because we are adding another business, as a percentage of total revenue, I would expect that to decline, in particular, as we roll out the different synergies that we have planned.
Scott Searle: Got you . Helpful. And Paul, it seems like all the product categories fared pretty well in the quarter except for Remote Management. Could you provide a little bit more color there? Is there anything going on in particular? Are there some component availability issues or something going on from an end market perspective or is this just kind of – it’s a little bit of a lumpy business and expect that to get back into growth mode over the next couple of quarters?
Paul Pickle: Yes. So, REM is definitely a lumpy business. This is kind of – it’s tied to more customer CapEx cycle. So, we end up getting large purchase orders even though we have visibility that those things are going to happen, and we kind of watch the opportunity funnel and the design ends, we really track POCs to design ends and then look for when those purchase orders are going to get placed. So they do kind of happen in a lumpy fashion. A quarter doesn’t make a trend. It was coming off of a pretty decent quarter. The prior quarter of Q3 was pretty strong for REM. I would expect, going forward, if you just even look at a two-quarter average, you’re going to see continued growth going forward. But this business is best measured on a quarterly trend basis.
Scott Searle: Got it. And lastly, if I could just dive in into the guidance for fiscal ‘22, thanks for providing the longer-term perspective. But if I kind of back out some assumptions for Transition Networks, it’s a pretty wide margin to begin with, I think it’s $20 million, $21 million in terms of the variance over the course of the year. And the low end of that is kind of a high-single digit, low-double digit kind of organic growth rate to up to 30%. So, it’s a wide range there. Certainly, it sounds like component availability plays a part in that. But I am wondering if you could address the big swing factors in terms of that range as we look out over the course of fiscal ‘22? Thanks.
Paul Pickle: Yes. It’s a bit of a broader range. You are 100% correct. And I think it’s more indicative of the times that we live in. We do expect, as Delta variant, not to bring up COVID again, but this does have a tendency to cause different localities to shutdown and maybe things pause for a couple of months as people wait for case rates to drop down. Again, I think we have get – we have built in kind of the new norm caution into the guidance. But aside from that, we feel really quite strongly that we will be – if we look at the Lantronix proper business that we just exited Q4, that business really is in a great position to grow. We have been turning it around for the last 2 years, working on new product offerings and working on our blocking and tackling a little bit better. And I think we are starting to see that results indicative of what happened in Q4.  Definitely we expect that to continue. I would – where things are probably not as certain from a growth standpoint as some of the newly acquired revenue, obviously, we just closed this August 2. If you look at the prior calendar year, $34.5 million in terms of – they are pretty linear in the way that they ship. And there is a growth component of the business. But as we were kind of analyzing the December close in January, we were asking them if they were seeing component shortages, of course, we were definitely seeing them at that time. We are already placing the orders necessary for the future quarter revenue. But they weren’t seeing component shortages at that time.  I think that was perhaps a little bit of a hindsight because they were definitely seeing it in the March quarter close. And then as a result, backlog has gone up. So, I do think that we have got a little bit of catch up to do operationally to get things in shape there. And as we start to leverage much larger purchase orders with our suppliers, I think that we will be able to – we are optimistic about being able to pull that in. I will say that their demand is quite strong at the moment. The demand is stronger than what they can deliver. So, that’s a positive. But we are just being a little bit cautious on their ability to deliver it. So, I don’t really judge that revenue at double-digits quite yet. But certainly, the business that we have been working on for the past 2 years is definitely growing at a double-digit rate.
Scott Searle: Great. Thank you.
Operator: The next question will come from Ryan Koontz with Needham & Company. Please go ahead.
Ryan Koontz: Hi. Thanks for the question. I wonder if you can give us any color on your market verticals in terms of where you saw strength in Q4, and maybe where COVID is still a headwind? And how you think about that over the balance – those verticals over the balance of the calendar year here?
Paul Pickle: Thank you, Ryan. Yes, great question. So, our market verticals today really is largely industrial. We do have an enterprise component as well. Industrial – municipalities, so we would normally put that in an industrial bucket. We will later provide some color on it in terms of smart cities opportunities. And then that medical piece was really strong during 2020 as the industry was really playing catch-up. Due to COVID, there was a rush of purchases. That moderated a bit during the back half of 2020. But what we are seeing is new programs coming on where just about every patient monitoring the device needs to have some type of connectivity and device management. So, we are seeing some nice strength in medical, in particular. Industrial is definitely doing – it’s pretty strong across the board. As I look at it, the vast majority of our base business is really rooted in that industrial vertical, and we have seen a nice uplift. I would characterize it as a macroeconomic lift. We are seeing strength in Europe as a result of that as well as North America, even seeing some new opportunities in APAC. And then those new kind of still industrial, but you kind of classify them as smart city applications. But the energy sector, energy delivery sector, security sector, these are more municipal applications. We have seen some new program launches and new orders placed from the likes of Flock Safety, for instance, these are security camera applications. There has just been some real strength there. And then lastly, that in price component that we have talked about last year, in terms of video conferencing applications that’s going rather well. Our customers transition to supporting Microsoft Teams as well that’s opened up a whole new SAM for them and given us a lot more volume opportunities there as well. So, a little bit of strength across the board. I don’t know that I see a particular sector that’s hampered by COVID right now, but not from an ordering standpoint, they are just in general strength across the board.
Ryan Koontz: Sure. Okay. I mean in terms of headwinds, I was thinking maybe with the auto sector kind of seeing some challenges on supply chain, you are not seeing an impact on use from the industrial side there?
Paul Pickle: Well, for us, automotive is fairly new. We do have some programs in automotive, but it’s mostly application development and new platform launches. Our customer TOGG in Germany – I am sorry, in Turkey rather, we do have arrival to an electric cargo ban based in the UK as well. Both of those are ramping up production and so things are going quite nicely for us. But once again, if they wanted us to deliver 10,000 units tomorrow, we would have a little bit of a problem doing that just because of the lead time so that with that product.
Ryan Koontz: Yes, helpful. Got it. Thanks. And on the supply chain, any real shifts in terms of your concerns, your long poles. Is it the similar characters that we have seen for the last few quarters, or are you seeing shifts into other different types of chips, analog chips, etcetera, that are becoming more of a problem for you?
Paul Pickle: It’s the analog chips mixed signal more of the specialty processes that are not dependent on the high-volume fab. TSMC, we ran into a problem at the end of last year because of the iPhone 12 launch. Things got a little bit better for us. And then it came down to substrates. Substrates are a real problem right now. Raw materials are a real problem right now. But in terms of silicon, it’s a little bit easier to getting the small lithography type devices versus some of the specialty devices. We have seen some of our oscillators, come back – has come back online. And so we are starting to see a little bit of easing there with some of those components. That’s why our WiFi business picked up. But overall, I think it really kind of comes down to raw materials and substrates is – it seems to be the big issue, and capacity is tight, in general, across the board. So, I couldn’t point to a single culprit at this point. One positive, we talked about supply chain issues associated with logistics and increased freight costs, those have moderated, and we are back as a percentage of revenue, at least today, we are below where we were pre-COVID. So, we are doing okay there.
Ryan Koontz: Great. Super helpful. Thanks for that color Paul. That’s all I have.
Paul Pickle: Thank you, Ryan.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Paul Pickle for any closing remarks. Please go ahead, sir.
Paul Pickle: Thank you, Chuck, and thank you all for joining us, and have a great evening.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.